Operator: Good day, and welcome to the Smith Micro Fourth Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note, today's event is being recorded. I would now like to turn the conference over to Charles Messman, Vice President of Marketing. Please go ahead.
Charles Messman: Thank you, operator. We appreciate you joining us today to discuss Smith Micro Software's financial results for the fourth quarter and year ended December 31, 2025. By now, you should have received a copy of our press release with the financial results. If you do not have a copy and would like one, please visit the Investor Relations section of our website at www.smithmicro.com. On today's call, we have Bill Smith, our Chairman of the Board, President and Chief Executive Officer; and Tim Huffmyer, our Chief Operating Officer and Chief Financial Officer. Please note that some of the information you will hear during today's discussion consist of forward-looking statements, including, without limitations, those regarding the company's future revenue and profitability, our plans and expectations, new products, development and availability, new and expanded market opportunities, future product deployments, growth by new and existing customers, operating expenses and company cash reserves. Forward-looking statements involve risks and uncertainties, which could cause actual results or trends to differ materially from those expressed or implied by our forward-looking statements. For more information, please refer to the risk factors included in our most recently filed Form 10-K. Smith Micro assumes no obligation to update any forward-looking statements, which speak to the management's beliefs and assumptions only as of the date they are made. I want to point out that in our forthcoming prepared remarks, we will refer to specific non-GAAP financial measures. Please refer to our press release disseminated earlier today for a reconciliation of these non-GAAP financial measures. With that said, I'll turn the call over to Bill. Bill?
William Smith: Thanks, Charlie. Thank you for joining us today for our fourth quarter and year-end 2025 conference call. As we move 2025 to the history books, I believe the company continues to make great strides on our return path to growth and profitability. Much of the work completed in 2025 has contributed to our progress. We have strengthened our product lineup with a strategic focus on phones in our SafePath OS solutions for kids and seniors. The senior-focused solution alone more than doubles our total addressable market. SafePath OS provides carriers with a tool to grow the subscriber base with the highest quality subscribers available in the market, the family subs. While we redirected our product strategy, we also continue to rationalize our cost structure. As we said during our last call, we are building a culture of continuous improvement and operational efficiency. We will continue to assess and optimize our spending while we continue to invest in strategic areas that support innovation. Our substantially reduced cost structure results in a reduced loss in the fourth quarter of 2025. And we believe it will support an even further reduced loss in Q1 of 2026 and most importantly, non-GAAP profit in Q2 and beyond. To reinforce this outlook, we plan to bring two new carrier customers to the market by midyear 2026. Both customer wins are the result of our SafePath OS product offerings. Our new product strategy is working and will drive the growth that we believe is ahead for Smith Micro. Our existing customer base is also showing signs of growth as recruiting new family subs has become an important topic of discussion. Beyond all of this positivity, we are seeing a strong sales pipeline that should provide even more new opportunities in the back half of 2026. In other exciting news, I am sure many of you have seen our press release issued earlier today that announced the implementation of our executive succession plan for Smith Micro. After 44 years at the helm, I will step down from the CEO role and will move to a new role as Executive Chairman for Smith Micro Software. This transition has been in the works for some time, and I believe that the timing is ideal. I am also pleased to announce that Tim Huffmyer, will be taking over as our new President and CEO at the close of the quarter on March 31. Tim is a proven leader with the experience and judgment to guide the company forward, and I am confident in his ability to lead the company through the exciting return to profitability and growth ahead. I look forward to working alongside Tim to ensure a seamless transition and continued momentum as Smith Micro returns to a role of leadership in providing cutting-edge software for wireless carriers. As you can see, I am very bullish about the future of this company that I cofounded so many years ago. And as a result, my wife, Dieva, and I have decided to provide an additional $4 million in funding. This will provide Smith Micro the time needed to return to profitability and the organic creation of cash to fund and grow the business going forward. Later in the call, I will provide more details around the status of our customer base and additional thoughts about our path forward in 2026. Let me turn the call over to Tim to discuss further the results of the fourth quarter and fiscal 2025. Tim?
Timothy Huffmyer: Thank you, Bill. Good afternoon, everyone. First, I'd like to thank you, Bill, for your leadership over the last 4 decades as President and CEO of Smith Micro. We all know how much you've sacrificed over this time during all the peaks and valleys of Smith Micro's success. I look forward to our continued strong partnership as we continue the transition and both of us settle into our new roles. Next, I'd like to thank Bill and the Board for the trust that they have instilled in me during the succession discussions. I'm honored and truly excited to lead the dedicated Smith Micro team as we continue our turnaround to profitability. Our employees are just amazing and extremely dedicated to building the best family safety application for our customers. Last quarter, I had an opportunity to travel to our offices and spend time with most of our employees. This dedication is unique and provides me with significant motivation to lead with purpose and intention. As Bill and I continue to work on the transition activity over this month, I'd like to also announce my plan for the Chief Financial Officer role. Coinciding with the changes to the Chief Executive role at the end of this month, I'm pleased to share with great confidence that Bethany Braund will serve as our new Chief Financial Officer. Bethany has been with Smith Micro for over 4 years as our Senior Director of Financial Reporting, where she has spearheaded all company SEC reporting obligations, all advanced technical accounting matters in support of numerous financing transactions, all financial audit and internal control activities plus many other visible projects. She has provided steady support and leadership to the Chief Financial Officer role and the executive team over her tenure here. Prior to joining Smith Micro, she spent 11 years at EY, serving in advancing roles within the Assurance team. She is a CPA and very well qualified for this role. I'm excited to partner with Bethany as we lead Smith Micro on the next phase. I look forward to sharing more information around our vision and strategy as we complete these transitions. Now let's turn to the financial overview. We have recently completed several funding transactions. During the fourth quarter, the company received approximately $2.7 million of cash from a registered direct offering and private placement transaction. As Bill indicated, we have signed an agreement for a convertible note transaction with Bill and Dieva Smith and other investors. In this new transaction, the Smiths will invest approximately $4 million and will also roll $585,000 of their previously outstanding notes originally due on March 31, 2026, into this same convertible note. Additionally, we had an additional $485,000 of short-term notes due on March 31, 2026. Of that amount, approximately half will be repaid on the due date and the other half will roll into this new convertible note transaction along the Smiths. The new convertible note issued in this transaction will be due in March of 2029. We expect to close this transaction in the next few days. As a reminder and to provide an update, in October of last year, we announced strategic cost reductions, primarily comprised of workforce reorganization, which resulted in cost savings of approximately $1.8 million per quarter as compared to the second quarter of 2025, or a $7.2 million reduction in the cost run rate, excluding employee separation costs of approximately $600,000. We are generally on track to achieve these savings in 2026. These efforts are part of our broader initiative to realign the company's cost structure with long-term business goals, strengthen the company's financial foundation and accelerate our path to profitability. Now let's cover the financial results of the fourth quarter of 2025. For the fourth quarter, we posted revenue of $4 million compared to $5 million for the same quarter of 2024, a decrease of 20%. When compared to the third quarter of 2025, revenue decreased by $300,000 or 7%. We were just short of our expectations for the quarter as a result of a couple of assumptions that did not materialize. First, a new feature launch did not occur as we expected. And second, we experienced a one-time event with one of our existing deployments that resulted in an unanticipated decrease in Q4 revenue from that customer. All revenue associated with this event has resumed to normal levels during the first quarter of 2026, and I am proud of the way that our team worked together to support our customer during this time. Fiscal 2025 revenue was $17.4 million compared to $20.6 million for 2024, a decrease of $3.2 million or 16%. During the fourth quarter of 2025, Family Safety revenue was $3.2 million, which decreased by $600,000 or 16% compared to the fourth quarter of the prior year. Family Safety revenue decreased by approximately $400,000 or 11% compared to the third quarter of 2025. This revenue reduction was primarily due to the one-time event I just described. During the fourth quarter of 2025, CommSuite revenue was $800,000, which decreased by approximately $300,000 compared to the fourth quarter of 2024. Revenue from CommSuite was flat compared to the third quarter of 2025. As previously mentioned, we sold our ViewSpot product for $1.3 million on June 3, and we will no longer have any future revenue from this product. ViewSpot revenue was nominal for the fourth quarter of 2024. In the first quarter of 2026, we are expecting consolidated revenues to be in the range of approximately $4.2 million to $4.5 million. For the fourth quarter of 2025, gross profit was $3 million compared to $3.8 million during the same period of the prior year, a decrease of $800,000, primarily due to the period-over-period decline in revenue, combined with our emphasis on continued cost optimization. Gross margin was 76.4% for the quarter, which was within the guidance range previously provided, compared to 75.6% realized in the fourth quarter of 2024. The gross profit of $3 million in the fourth quarter of 2025 declined by $200,000 compared to the gross profit realized in the third quarter of 2025. In the first quarter of 2026, we expect gross margin to be in the range of 76% to 78%. Once we realize a full quarter of the previously announced cost benefits in 2026, we expect our margin percentage to be between 78% to 80%. Our long-term gross margin target is 85%, which we will continue to work towards. For the year ended December 31, 2025, gross profit was $12.9 million compared to $14.4 million for the year ended December 31, 2024. Gross margin was 74.1% for fiscal 2025 as compared to the 70.2% for 2024. GAAP operating expenses for the fourth quarter of 2025 were $7.4 million, a decrease of $800,000 or 10% compared to the fourth quarter of 2024. The difference was a result of changes in personnel, stock compensation costs and other cost reduction activities. GAAP operating expenses for the full year of 2025 were $41.9 million compared to $63.8 million in 2024, a decrease of $21.9 million or 34%. This period-over-period decrease was primarily attributable to the goodwill impairment charge of $24 million recorded in 2024 as compared to the goodwill impairment charge of $11.1 million in 2025, coupled with the cost reduction activities, which have exceeded $10 million annually. Non-GAAP operating expense for the fourth quarter of 2025 were $4.7 million compared to $5.8 million in the fourth quarter of 2024, a decrease of approximately $1.1 million or 19%. Sequentially, non-GAAP operating expenses decreased by approximately $1 million or 17% from the third quarter of 2025, which exceeded the guidance previously provided. We anticipate a further decline in non-GAAP operating expenses of 5% in the first quarter of 2026 as compared to the fourth quarter of 2025 as we continue to realize the impact of our most recent workforce reorganization and cost rationalization, which Bill has mentioned, is based on our focus of continuous improvement and operational efficiency. Non-GAAP operating expenses for fiscal 2025 were $22.5 million compared to $28.3 million in 2024, a decrease of $5.8 million or 20% compared to last year. The GAAP net loss attributable to common stockholders for the fourth quarter of 2025 was $4.7 million or $0.20 loss per share, compared to the loss of $4.4 million or $0.25 loss per share in the fourth quarter of 2024. GAAP net loss attributable to common stockholders for the year ended December 31, 2025, was $30 million or $1.46 loss per share, compared to a loss of $48.7 million or $3.94 loss per share for 2024. The non-GAAP net loss attributable to common stockholders for the fourth quarter of 2025 was $2.1 million or $0.09 loss per share, compared to the non-GAAP net loss of $1.9 million or $0.11 loss per share in the fourth quarter of 2024. Non-GAAP net loss attributable to common stockholders for the year ended December 31, 2025, was $10.9 million or $0.53 loss per share, compared to the non-GAAP net loss of $13.7 million or $1.11 loss per share for the prior year. Within today's press release, we have provided a reconciliation of our non-GAAP metrics to the most comparable GAAP metric. For the fourth quarter of 2025, the reconciliation includes adjustments for intangible asset amortization of $1.3 million, stock compensation expense of $800,000, restructuring costs of $500,000, depreciation expense of $77,000, changes to fair value of warrants of $43,000 and deemed dividends of $133,000. For the full year of 2025, the non-GAAP reconciliation includes adjustments for intangible asset amortization of $5.1 million, stock compensation expense of $3.6 million, goodwill impairment of $11.1 million, restructuring costs of $600,000, depreciation expense of $300,000, changes to fair value of warrants of $200,000, deemed dividends of $800,000, partially offset by the ViewSpot sale of $1.3 million. Due to our accumulated net losses over the past few years, our GAAP tax expense is primarily due to certain state and foreign income taxes. For non-GAAP purposes, we utilize a 0% tax rate for 2025 and 2024. The resulting non-GAAP tax expense reflects the actual income tax expense during each period. From a balance sheet perspective, we reported $1.5 million of cash and cash equivalents as of December 31, 2025. This now concludes my financial review. Back to you, Bill.
William Smith: Thanks, Tim. As you can see from my introduction and Tim's report, we have been fully engaged in a strategic redesign to maximize our talent and resources. Our strategy to focus on phones with SafePath OS for kids and seniors is working as evidenced by new customer wins and a strong growing pipeline. With that, let's look at where we are with our customers. AT&T was a strong contributor this quarter and continues to be an important strategic partner for Smith Micro. The fourth quarter 2025 marked the first full quarter in which AT&T expanded the addressable market for Secure Family, enabling AT&T to deliver a more compelling marketing message for the holiday season and setting the stage to strengthen their overall security offering. To help drive visibility, stronger alignment and improved engagement during the key selling period, we took advantage of cross-promotion opportunities across their broader security portfolio, further reinforcing Secure Family as part of an integrated digital safety experience for families. Looking ahead to 2026, we are encouraged by emerging strategic opportunities that extend beyond the Secure Family over-the-top application. AT&T's increased focus on the family space is creating innovative opportunities to further enhance and deliver our core solutions to reach a significantly larger audience. Boost continues to be a solid and collaborative partner for us. We are working closely with them to expand our SafePath solution, including progress on new platform capabilities. These initiatives are aimed at strengthening SafePath's role within Boost's broader value proposition and positioning the platform to support future growth and innovation in the family safety space. In addition, our Visual Voicemail solution delivered encouraging results with a positive trend in new subscriber additions during the quarter. Looking ahead, we are aligned with Boost on opportunities to enhance the product through future upgrades and refresh customer messaging, which we believe can further improve engagement and growth. I am encouraged by our ongoing collaboration as we look to build on this momentum in future quarters. Looking ahead, we see more opportunity with T-Mobile. We are aligned on plans for enhanced product features and are exploring new revenue opportunities as these capabilities come to market. I believe this momentum positions our T-Mobile partnership well and creates a strong foundation for growth as T-Mobile continues to invest in serving the family segment. We continue to work closely with Orange, both at the group level as well as in Spain to deepen our partnership and to maximize our joint potential in the family safety market. Our most recent engagement confirms our belief that we are on the cusp of meaningful growth with their customer base. Elsewhere in Europe, we remain in talks with several carriers, and we anticipate deeper dive in-person meetings with a number of prospects in Europe later this month. Additionally, we have a full calendar of meetings at Mobile World Congress as we continue to seek viable opportunities to expand our presence through other carriers around the globe. In conclusion, I am more than excited and extremely confident as I look ahead to 2026 and beyond. Everyone at Smith Micro is embracing transformative change and ready to conquer new horizons. I am as bullish as I have ever been about our future. Throughout these past 44 years at Smith Micro, we have experienced many different technology cycles as well as ongoing changes in the market, where timing is extremely important and having the right solutions at the right time is paramount. I believe that is exactly where we are right now, and we plan to capitalize on that fact. With that said, operator, we can open the call for questions.
Operator: [Operator Instructions] And today's first question comes from Matthew Harrigan with Benchmark.
Matthew Harrigan: Do you have any thoughts on what -- kind of the annual revenues, I mean you can kind of figure out where your margin is going to lay out, but the value of a normalized revenues with a major mobile carrier in the U.S., I mean, if you perform optimally. And I know with Orange and the European carriers, it's very different because you've got a central organization, you've got different countries and all that. But what do you think the prospective revenue opportunity is, kind of brushing it with kind of a VC painting brush, if you will?
Timothy Huffmyer: Matthew, thanks for the question. We've often guided investors on this question to think about the number of subs that are available or family subs that are available at the carrier, so depending on how large the carrier is. And then we've often guided on a fee or our revenue per unit as a couple of dollars per family unit. So for instance, at a $10 million family opportunity, if we were to get 50% or 30% of those, you would take that and multiply it by a couple of dollars per month, and you could kind of run out that from a modeling standpoint. I hope that's helpful in thinking about how we believe the addressable market is at the carriers.
Matthew Harrigan: And then given all you have to do is turn on CNN and you can see all the issues with family safety, both for children and for seniors right now. But you don't talk too much about competition. Clearly, a former customer of yours, a large carrier, tried to do it in-house maybe with mixed success. But I mean, given that this is a crying need, I mean, people must be doing something to -- even on a [ password ] basis to try to satisfy the situation. I mean, do you see things kind of added ad-hoc to other software solutions? Or what are people doing who aren't using you because it's hard to believe that this void on the need continues to persist as much as it does.
William Smith: Yes, Matthew, I think that's really the power of SafePath OS. And why we became so active around the phones. We think that selling phones is something carriers know how to do very well. We also think it's a very easy way to bring users on to family safety solutions. From a kids point of view, one of the largest issues with family safety software are kids deleting the app. When it's on the phone like this, it's part of the OS, that can't be deleted. So I think in general, I think we have put ourselves in an excellent spot where we can really bring added value. I mean you mentioned a carrier that went out and developed their own software. Well, the market moves pretty fast. So they are -- they now have their software up and they've got a lot of the kinks out of it. And guess what, now they've got to figure out how they got to bring phones to the market, not just phones for kids standpoint, but phones for the senior standpoint as well. So this is the real advantage we have. We pushed the envelope. We're in a leadership role, and that means everybody else has to run like crazy to catch up. And that's what it's all about. I think that's why I think we're going to be very, very successful going forward. And I think that the phones are going to be the major differentiator.
Matthew Harrigan: And clearly, at MWC, I mean, you've got a lot of people there other than just the fairly concentrated U.S. market. Are you seeing actual pull demand from new guys who've heard about the solution? Or is it kind of checking in annually with some familiar faces. Hopefully, they finally come over. But are you seeing any better awareness of your product?
William Smith: Yes. I think that, as I said, we are looking forward to launching two new carrier customers midyear. Both are being driven by SafePath OS. They will be selling phones as part of that overall offering. Part of the reason that carriers are excited about the phone is the onboarding process is so simple. And it's just a totally different animal than what we have done traditionally in the past with over-the-top applications. And I think that's opening up this market. When we look at Europe, Europe is more of a greenfield opportunity for us. There isn't a lot of history there with carriers offering family safety offerings. And with the phone now, this makes the decision process by those carriers that much easier. So I'm very, very bullish on where we're headed. I think we are in the driver's seat. And only time will tell, but I look forward to -- if I'm not on these calls, I look forward to listening to Tim talk about all the wins coming up in the future.
Matthew Harrigan: Congratulations to both of you, and I hope you have an enjoyable and productive MWC coming up shortly.
Operator: [Operator Instructions] And that does conclude our question-and-answer session. I'd like to turn the conference back over to Charles Messman for any closing remarks.
Charles Messman: I just want to thank everybody for joining. Thank you, Bill. And Tim, we're really excited about having you on board. For those that are going to happen to be in town, we're going to be at the ROTH Conference in a few weeks. So please stop by and say hello, and have a great day. Thanks, everybody.
Operator: Thank you. That concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.